Operator: Greetings and welcome to the Equifax Corporate's Fourth Quarter 2024 Earning Conference Call. This time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce Trevor Burns, Senior Vice President, Head of Corporate Investor Relations. Trevor, you may now begin.
Trevor Burns : Thanks and good morning. Welcome to today's conference call. I'm Trevor Burns. With me today are Mark Begor, our Chief Executive Officer, and John Gamble, Chief Financial Officer. Today's call is being recorded. An archive of the recording will be available later today in the IR Calendar section of the News and Events tab at our Investor Relations website. During the call, we will be making reference to certain materials that can also be found in the Presentations section of the News and Events tab at our IR website. These materials are also labeled for 4Q, 2024 earnings conference call, Also, we're making certain forward-looking statements, including first quarter and full year 2025 guidance, to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties, and other factors that could cause actual results that differ materially from our expectations. Several risk factors that may impact our business are set forth in filings with the SEC, including our 2023 form 10-K and subsequent filings. We will also be referring to certain non-GAAP financial measures, including adjusted EPS, adjusted EBITDA, and cash conversion, which will be adjusted for certain items that affect the comparability of our underlying operational performance. These non-GAAP financial measures are detailed in reconciliation tables, which are included with our earnings release and can be found in the Financial Results section of the Financial Info tab at our IR website. As a note, based on feedback from many of you, starting with our first quarter call on April, we will plan on shortening our prepared remarks. Some of the content that we normally share in the prepared remarks may be included in the appendix to our quarterly earnings presentations. If you have any questions or comments, please feel free to share them with me and Molly. Now I would like to turn it over to Mark.
Mark Begor: Before I cover our results for the quarter, I wanted to spend a few minutes on our 2024 performance. Turning to Slide 4, we were pleased with our financial performance in 2024 that was in line with the goals we set at the beginning of the year against some challenging mortgage and hiring macros. 2024 revenue was up almost 8% on a reported and organic constant currency basis at the low end of our long-term 8% to 12% growth framework. Adjusted EPS was $7.29 per share, up over 8.5% versus last year. Cash conversion was 89%, approaching our target of 95%-plus, with free cash flow of $813 million, up 58%, and reduced our debt leverage to our target levels of under three turns. We delivered accelerated improvement in constant dollar revenue growth at almost 10% and EBITDA margins at over 34% in the second half of the year, although not at the levels we had planned given market headwinds, principally in U.S. hiring and the mortgage market. Overall, 2024 performance was strong, aligned with our EFX 2027 strategic priorities, and was an important inflection point in our ability to accelerate our free cash flow generation that sets us up well to drive growth through targeted bolt-on acquisitions while positioning Equifax to return capital to shareholders through both dividend growth and launching a multiyear share repurchase program in 2025. We delivered against our EFX 2027 strategic priorities. We made strong progress towards completing our cloud data and technology transformation as USIS, Canada, Spain, Chile, and several other Latin American countries completed their consumer cloud customer migrations, a huge milestone for Equifax. We now have close to 85% of Equifax revenue in the new Equifax cloud, which is a big accomplishment after five years of investment. We expect to have a significant competitive advantage as we pivot from building to leveraging the Equifax cloud in 2025 and beyond that will allow us to fully focus on growth, innovation, new products, and AI. Our cloud progress allowed us to decommission legacy systems and data centers and deliver about $300 million in spending reductions last year that increased to about $360 million in 2025. Leveraging the new Equifax cloud, we are now on offense with EFX.AI. In 2024, 95% of our new models and scores were built using Equifax AI and machine learning, up from 70% in 2023. In 2024, the EWS team had another outstanding year of record additions, ending the year with 188 million active records of 20 million records, or 12%, with 734 million total records in the TWN dataset. The team signed 15 new strategic partnerships in 2024, including Workday, which we expect will fuel EWS verification services revenue growth in 2025 and beyond. And we continued our strong new product growth with broad-based 2024 Vitality Index of 12%, which was 200 basis points above our long-term 10% goal and equates to about 650 million of new product revenue last year. Our Vitality Index in EWS and international were very strong, and importantly, we saw USIS Vitality Index strengthen 200 basis points from the first half to the second half of last year. We expect our Vitality Index to be above our long-term goal of 10% again in 2025 as we leverage the Equifax cloud to deliver new products that only Equifax can provide. As we move into 2025, I'm energized by our commercial momentum, new product, innovation, and AI capabilities, and the benefits of the new Equifax cloud. Turning to Slide 5, Equifax's fourth quarter reported revenue of $1.419 billion was up 7%. The dollar strengthened substantially in the quarter, negatively impacting revenue about $12 million versus our October guidance. On an organic constant currency basis, revenue growth of 9% was just over 100 basis points, or $17 million, below the midpoint of our October framework, driven principally by weaker U.S. hiring and mortgage markets, which declined significantly in the last half of the fourth quarter. The weaker U.S. hiring markets impacted our talent and onboarding businesses, driving the bulk of the weakness versus our guidance midpoint. This resulted in non-mortgage constant dollar revenue growth being just under 6% in the quarter and about 150 basis points weaker than our expectations. Total U.S. mortgage revenue was up 29% in the quarter and also below our expectations. U.S. mortgage revenue declined meaningfully in late December and January as mortgage rates have moved above 7%. Based on these trends, we expect 2025 mortgage revenue credit inquiries to be down 12% in 2025. Despite the pressure from weaker mortgage and hiring macros, Equifax delivered fourth quarter adjusted EBITDA of $502 million, which was up about $30 million sequentially with adjusted EBITDA margin of 35.4% in line with our October framework. And this is the first quarter in Equifax's history of adjusted EBITDA over $500 million, a big milestone for the future. Adjusted EPS of $2.12 per share was at the midpoint of our October guidance and was the first quarter of adjusted EPS over $2 a share since the second quarter of 2022. We were disappointed that we were below October revenue guidance for fourth quarter revenue given the mortgage and hiring declines late in the quarter. However, the team performed well in managing costs and expenses to deliver on our commitments on both adjusted EBITDA and EPS. We remain focused on delivering on our commitments and have no change in our Equifax long-term growth framework. Turning to Slide 6, workforce solutions revenue was up 7% in the quarter and below our October guidance principally due to lower than expected talent solutions and I-9 and onboarding revenue from the weaker hiring market. Talent solutions revenue was up 2% in the quarter. In October, we discussed declining trends in hiring volume that weakened meaningfully during the fourth quarter. And in January, we saw further weakening of monthly hiring volumes off the lower December levels. Despite the weaker hiring macro, talent solutions continues to outperform their underlying markets, benefiting from new records, new products, penetration, and pricing, as well as new solutions from the new total verified data hub, which includes trended employment data, as well as incarceration, education, and licensing and credentialing data. Government had another strong quarter with revenue up 11% and consistent with our expectations. As expected, growth rates in the fourth quarter were lower than the third quarter, principally due to copping off very strong growth we saw last year from redetermination volumes. We saw continued strong momentum in incarceration data sales in the fourth quarter, with insights revenue up double digits. EWS mortgage revenue was up 17% in the quarter, with TWN inquiries up 6%. EWS total mortgage revenue outperformed TWN inquiries by 11%, up about 150 basis points sequentially from strong record growth in the fourth quarter. Employer services revenue was down 9% in the quarter. The weaker hiring market also negatively impacted I-9 and onboarding revenue. As I referenced earlier, the weak hiring market has continued in January, and we expect it to impact first quarter performance. Workforce Solutions adjusted EBITDA margins of 51.9% were up a strong 70 basis points and consistent with our guidance, despite the weaker than expected revenue growth. The EWS team continues to tightly manage costs while staying focused on driving top-line growth. Turning to slide 7, TWN record additions continue to be very strong again in the fourth quarter, with active records up 6 million in the quarter and 20 million for the year, or 12% to 188 million records. In the fourth quarter, EWS signed agreements with three new strategic partners, which brings the total new partnerships in 2024 to 15. We expect these new partnerships, along with our new Workday Partnership, to drive record growth and EWS revenue growth in 2025. At 137 million unique active records, we have plenty of room to grow the TWN database towards the TAM of about 225 million income-producing Americans. Turning to Slide 8, USIS revenue was up over 10% in the quarter, driven by strong mortgage outperformance, which was consistent with our guidance and well above the USIS long-term revenue growth framework of 6% to 8%. USIS non-mortgage revenue grew almost 2.5% in the quarter and was slightly below our guidance. Within online, we saw mid-single-digit growth in FI, which was an improving trend, low single-digit growth in auto, and a return to growth in our direct-to-consumer business, the segment where we principally sell data to the other credit bureaus. Telco declined in the quarter, comping off a very strong fourth quarter last year, and we saw declines in identity and fraud principally from our chargeback management business. USIS mortgage revenue was up a very strong 47%. Mortgage credit inquiries were flat during the quarter, but we saw them weaken late in the quarter and decline meaningfully sequentially in December as rates moved above 7%. The strong pricing environment, along with growth in mortgage pre-approval and prequalification products, drove the mortgage revenue growth. In the fourth quarter, mortgage pre-approval and prequalification inquiries declined sequentially. At about $115 million, USIS mortgage revenue was just over 24% of total USIS revenue in the quarter. Financial marketing services, our B2B offline business, was about flat in the quarter and in line with our October guidance. We saw strength in our identity-based businesses and with our expanding relationships in the payments segment. Our IXI wealth data revenue was down in the quarter, comping against a very strong fourth quarter in 2023. USIS consumer solutions D2C business had another very strong quarter, up 9%, with strong growth in our consumer direct channel from strong customer acquisition trends. USIS adjusted EBITDA margins were 38.3% in the quarter, up 440 basis points sequentially and consistent with our guidance. USIS performed extremely well in delivering expected cloud cost reductions as they decommissioned legacy consumer, telco, and utility technology platforms. With the USIS consumer and our telco and utilities cloud transformations complete, the USIS team is positioned well for growth in 2025 and beyond. Turning to Slide 9, international revenue was up a strong 11% in constant currency and above their 7% to 9% long-term revenue framework and stronger than our October guidance. Latin American growth was very strong, driven by double-digit growth in Brazil. Canada and Australia delivered higher growth rates sequentially, and Europe grew mid-single digits in the fourth quarter, which was sequentially weaker in the UK CRA, reflecting overall UK economic conditions. International adjusted EBITDA margins of 32.5% were stronger than our October guidance, up 480 basis points sequentially and the highest since the fourth quarter of 2020 from strong revenue growth and good cost execution. Turning to Slide 10, we continue to make very strong progress driving innovation new products covering a 12% vitality in the fourth quarter from broad-based double-digit performances across all of our businesses. We expect strong Equifax double-digit vitality index again in 2025, above our 10% long-term goal, leveraging our Equifax cloud capabilities to drive product roll-ups using our differentiated data and EFX.AI capabilities. With our USIS consumer and telco customer migrations complete, we are rapidly developing and bringing to market new solutions that include our unique TWN income and employment data, along with our USIS credit and alternative data assets. We expect our TWN-powered credit solutions to help our clients gain deeper insights into consumer creditworthiness from solutions using both credit and TWN income and employment indicators, which is a big win for our clients, for consumers, and Equifax. We're rolling out a new solution that provides mortgage lenders key TWN income and employment information along with the Equifax credit report. This new solution allows lenders to instantly obtain information about both a mortgage applicant's creditworthiness and the applicant's employment status with a single data request from Equifax, a huge differentiator leveraging the power of our unique EWS and USIS data assets that are in the Equifax single data cloud fabric. We plan to launch additional only Equifax solutions in 2025 for the auto vertical, where both credit and income verifications are integral to credit underwriting. Moving to Slide 11, we enter 2025, executing well against our Equifax 2027 strategic priorities and we're well-positioned to deliver continued strong AI-powered new product growth, leveraging new Equifax cloud that will drive our top-line growth. 2025 is a pivotal year for Equifax in our ability to accelerate our free cash flow generation as CapEx comes down and our EBITDA expands. Our strong free cash flow conversion that will approach our 95% long-term goal and leverage our expanding EBITDA positions Equifax to return capital to shareholders through both growing our dividend and launching a multiyear share repurchase program in 2025. We are continuing to face challenging end markets in U.S. mortgage and hiring. With mortgage rates above 7%, we have seen meaningful declines in hard mortgage inquiries over the past six weeks. Based on those trends, our 2025 guidance reflects USIS hard credit inquiries declining 12% compared to last year. We will continue to forecast our mortgage revenue off current EFX credit and TWN inquiry run rates and, as in the past, we do not include interest rate decreases or increases in our forecast. For perspective, the USIS hard credit inquiries that we disclose quarterly represent over 70% of total USIS mortgage revenue in 2024. Also, based on weak hiring trends over the past eight weeks, we expect 2025 U.S. hiring to be down about 8% relative to 2024 and out of the order of over 10% below average BLS hires over the last 10 years. And last, with the U.S. dollar strengthened significantly over the past three months and at current FX rates, 2025 revenue will be negatively impacted by about 130 basis points or about $75 million. Based on these economic assumptions, we expect to deliver 2025 revenue of about $5.95 billion, up 4.7% on a reported basis at the midpoint of our guidance. Constant currency revenue growth is expected to be about 6%, with both mortgage and non-mortgage constant currency revenue up about 6% in 2025. The assumed declines in the U.S. mortgage and hiring markets are impacting our overall growth rate by over 200 basis points. Absent these mortgage and hiring market declines, 2025 organic constant dollar revenue growth would be at the midpoint of our long-term organic growth framework of 7% to 10%. At the business unit level, we expect Workforce Solutions to deliver revenue growth of over 7% in 2025. Verification services revenue is expected to be up about 8% and lower than our long-term framework due to the weak mortgage and hiring markets. Mortgage revenue is expected to be up about 3% due to the impact of the expected decline in the U.S. mortgage market. Non-mortgage verifier revenue is expected to be up over 9%, down from the levels seen in 2024, principally driven by the expected decline in U.S. hiring and the resulting expected mid-single-digit growth in our talent business. And government growth is expected to be impacted due to tough 2024 comps and some weakness in the first half of 2025 as states adjust to modified CMS and USDA food and nutrition service funding practices. Government growth -- revenue growth should return to double-digit levels in the second half of 2025. Continued strong TWN record growth, a vitality index of over our 10% Equifax goal, and continued growth in both pricing and penetration will continue to drive verification services revenue growth despite the mortgage market and hiring market headwinds. We expect employer services to be about flat in 2025, with growth also impacted by the expected declines in U.S. hiring and onboarding. We expect USIS to deliver revenue growth of over 5% in 2025, which would bring USIS revenue to about $2 billion. We expect mortgage revenue to grow over 8% despite the expected 12% decline in hard mortgage credit inquiries. Non-mortgage revenue growth is expected to grow about 4%, up from 2% last year, and USIS revenue is expected to benefit from accelerating NPIs and share gains as they leverage the new Equifax cloud. We expect international constant currency revenue growth to be about 7% in 2025, consistent with their 7% to 9% long-term financial framework. At these revenue levels and at the midpoint of our guidance, EBITDA margins should increase about 25 basis points, with EBITDA increasing about 5% to over $1.9 billion. Adjusted EPS at the midpoint of our guidance is expected to be $7.45 per share, up 2% over last year, with free cash flow at about $900 million and free cash flow conversion at about our long-term target of 95%. With our leverage now below 2.6 turns, we are well-positioned to continue our bolt-on acquisition strategy and start increasing the return of capital to shareholders through both growing the dividend and a multi-share repurchase program during 2025. Now I'd like to turn it over to John to provide more detail on our 2025 assumptions and guidance and also provide our first quarter framework.
John Gamble: Thanks, Mark. As Mark discussed and is shown on Slide 12, our planning assumes USIS hard mortgage credit inquiries are down about 13% in 1Q '25 and 12% for all of 2025, which again, in 2024, represented over 70% of the USIS mortgage revenue. Sequentially, we are assuming that our U.S. mortgage business will have normal seasonality in 2025. Slide 13 provides the specifics of our 2025 full-year guidance. 2025 is being significantly impacted by declines in U.S. mortgage and hiring markets, as well as negative FX. The year-to-year declines in these markets are impacting revenue growth by over 200 basis points, adjusted EBITDA margins by about 150 basis points, and Equifax adjusted EPS growth by about 7 percentage points. Absent these market factors, our constant currency revenue growth would be consistent with our 7% to 10% long-term framework, and adjusted EPS growth would be approaching 10%. Slide 13 also includes additional detail on expected BU adjusted EBITDA margins, as well as guidance on specific P&L line items. Equifax EBITDA margins are expected to be up about 25 basis points in 2025, which is below the 50 basis points of annual improvement in our long-term framework, principally due to revenue growth also being below our long-term framework due to market factors we just discussed. The benefits from the cost actions Mark referenced are benefiting margins more than offsetting the impact of higher costs, particularly in USIS mortgage. EWS EBITDA margins in 2025 are about 50.5%, down from the 51.8% delivered in 2024. Margins in 2025 are impacted by lower revenue growth levels, revenue mix, as well as costs related to the addition and boarding of TWN partners. USIS EBITDA margins at about 35.5% are expected to be up about 100 basis points year-to-year, realizing the full year benefit of cost reductions from decommissioning legacy systems, again, more than offsetting higher costs, particularly in mortgage. International EBITDA margins at about 28.5% are expected to expand about 100 basis points from 2024, benefiting from revenue growth and 2024 cost actions related to decommissioning legacy systems. Corporate expense, excluding depreciation and amortization, is increasing in 2025 relative to 2024, principally due to increased variable compensation as we return to target levels of incentive payouts, as well as continued investments in corporate technology, security and compliance. Depreciation and amortization is expected to increase by about $55 million in 2025 as we put significant North American and other cloud native systems into production in 2024. And our estimated tax rate is expected to be about 26.75% in 2025 and above 2024, due principally to increased impact of overseas taxes and lower U.S. development tax credits as we reduce capital spending. Capital spending should be about $480 million in 2025, down from $496 million in 2024. And as we complete the cloud, more of our capital spending will be dedicated to innovation driving revenue growth versus building our infrastructure. We believe that our guidance is centered at the midpoint of both our revenue and adjusted EPS guidance ranges. Slide 14 provides the details of our 1Q '25 guidance. In 1Q '25, we expect total Equifax revenue to be between $1.390 billion and $1.420 billion, up about 1% on a reported basis year-to-year at the midpoint. Constant dollar revenue growth at the midpoint is almost 3%, adjusted EPS in 1Q '25 is expected to be $1.33 to $1.43 per share, down 8% versus 1Q '24 at the midpoint. The decline in adjusted EPS of about $0.12 per share is principally driven by higher depreciation and amortization of about $15 million, or $0.09 a share, and the higher effective tax rate in 1Q '25, reducing adjusted EPS by about $0.02 a share. Equifax 1Q '25 adjusted EBITDA margins are expected to be about 28.5% at the midpoint of our guidance, down about 50 basis points year-to-year. The sequential decline in adjusted EBITDA margins reflects seasonally higher fourth-quarter revenue and higher first quarter equity compensation. Business unit performance in first quarter is expected to be as follows. Workforce Solutions revenue growth is expected to be up about 1% year-to-year. Verification services revenue is expected to be up 2.5%. Mortgage revenue is expected to be about flat, with growth in records and pricing offset by the expected continued mortgage market decline. Verifier non-mortgage revenue is expected to be up about 3.5%. Government revenue is expected to be about flat, with a difficult comp versus 1Q '24 CMS redetermination volumes, and as Mark indicated, some weakness in the first half of 2025, as state adjust to modified CMS and USDA food and nutrition service funding practices. Government revenue growth should return to double-digit levels in the second half of 2025. Talent revenue should be up mid-single digits, as growth is impacted by expected declines in U.S. hiring. Employer revenue is expected to be down mid-single digits. EWS adjusted EBITDA margins are expected to be about 49%, down about 200 basis points due to the lower revenue growth and cost impacts from boarding record contributors. USIS revenue is expected to be up about 3% year-to-year. Mortgage revenue is expected to be up about 5%, and non-mortgage revenue is expected to be up about 2.5%. Mortgage growth is being impacted by significant declines in USIS hard inquiries, which are being more than offset principally by third-party vendor pricing actions. Adjusted EBITDA margins are expected to be up 150 basis points at about 34%, again reflecting the benefits from USIS decommissioned legacy consumer and telco and utility systems. International revenue is expected to be up about 6% in constant currency. Adjusted EBITDA margins are expected to be flat year-to-year in 1Q, '25. Turning to Slide 15, free cash flow is expected to continue to strengthen to about $900 million and approach our 95% cash conversion goal in 2025. As Mark indicated, as we have reached leverage levels consistent with our long-term goals and targeted BBB, BAA2 credit ratings, we have significant flexibility to both restart both on acquisitions and increase capital return to shareholders. Turning to Slide 16, the U.S. mortgage market assumed in our 2025 guidance is over 50% below its historic average hard credit inquiry levels. As the mortgage market recovers toward its historic norms at current mortgage pricing and mix and current TWN records that represents on the order of $1.2 billion of annual revenue opportunity for Equifax. At current average mortgage growth margins, this would deliver adjusted EBITDA and adjusted EPS above the $700 million and $4 per share, respectively, that we have discussed with you in the past and that we would expect to move into our P&L as the mortgage market recovers toward normal levels in 2026 and beyond. Now I'd like to turn it back over to Mark.
Mark Begor: Thanks, John. Turning to Slide 17, in 2025, our guidance reflects the challenging markets in both U.S. mortgage and hiring, resulting in our expectation that constant currency revenue at 6% will be below our long-term financial framework. Despite this end-market weakness, we expect to deliver adjusted EBITDA of over $1.9 billion driven by margin expansion of 25 basis points and about $900 million of free cash flow from cash conversion of about 95%. As end markets normalize, we are confident in our ability to deliver organic revenue growth in our 7% to 10% long-term range, continue expanding EBITDA margins at 50 basis points per year, and growing cash conversion at above 95%, while executing on our bolt-on M&A strategy. And in 2025, we expect to significantly increase return of capital to shareholders. Wrapping up on Slide 18, in 2024, Equifax delivered financial performance in 2024 that was in line with the goals we set at the beginning of the year, with revenue up almost 8% on a reported basis and on an organic constant currency basis. Adjusted EPS at $729 per share, up 8.5%, free cash flow of $813 million, and cash conversion of 89%. We had strong execution against our EFX 2027 strategic priorities in a challenging economic environment. We delivered on the critical priority of completing our North American consumer cloud transformation as well as significant portions of our global markets, with close to 85% of Equifax revenue now in the new Equifax cloud. Our cloud-native infrastructure is already providing competitive advantages of always-on stability, faster data transmission speeds, and industry-leading security for our customers. And importantly, Equifax's resources in technology, product, and DNA are pivoting from building to leveraging the Equifax cloud for innovation, new products, and growth. We are using our single-data fabric, EFX.AI, and Ignite, our analytics platform, to develop new credit solutions powered by TWN indicators in verticals like mortgage and auto that only Equifax can deliver, which we expect will lead to share gains and growth for our USIS business. Exiting 2024 with close to 85% of Equifax revenue in our new cloud environment is a huge milestone for the team, so we can fully focus on growth. We are also at an important inflection point with our accelerating free cash flow and a strong balance sheet to position Equifax to return our substantial excess free cash flow to shareholders in 2025. We are entering the next chapter of Equifax with our cloud transformation substantially complete. I'm energized by our momentum as we enter 2025, but even more energized about the future of the new Equifax. And with that, operator, let me open it up for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions]. We ask you to please limit yourself to one question and one follow up. Thank you. And our first question will be coming from the line of Jeff Muller with Baird. Please proceed with your question.
Jeff Muller: Yes. Thank you. Good morning. So I'm trying to listen to everything you're saying on EWS margin guidance, but it's still hard for me to reconcile margins contracting year-over-year on 7% revenue growth. And I get that there's macro factors that are impacting volumes, and there's a detrimental margin associated with that. You also called out that there's onboarding costs for new partners, but I would think you've had that for a while, including last year. So just any other factors, and if you can specifically hit on what's going on in terms of payout ratios for TWN record partners, both as you sign new and renew?
Mark Begor: Yes, Jeff. I'll start. And John can jump in. I think you hit the factors impacting EWS and Equifax in 2025. Clearly the mortgage market decline takes a lot of high-calorie revenue out of the forecast, as well as the same on the talent side. Onboarding is larger now than it was in prior years. As you know, we added 20 million records last year, but we added 15 partners, including three in the fourth quarter. So we've had our highest record addition last year and our highest partner additions last year. So onboarding, we do expect to be larger in 2025, those onboarding costs, which of course will benefit us in the future moving forward. What else, John, would you add?
John Gamble: Yes. So we have seen also nice growth. We talked about it in insights. We've seen nice growth in some education products, and we want to continue to drive that growth. But those products have lower variable margins and contribution margins, obviously, than TWN that has very, very high margins. So that is pressuring margins to a degree. And we're continuing to make substantial investments in EWS to drive future growth and deliver new products, and given the fact that revenue growth is a bit lower, that obviously is somewhat detrimental to margin in a year. So overall, I think we still expect this to be a very strong margin business. We believe as the mortgage market and hiring recovers, we're going to return to margin growth. But the factors we just talked about, plus the headwinds of the difficult markets, is what's resulting in the decline in '25.
Jeff Muller: Okay. But just on the payout ratios that you're paying, I get that.
John Gamble: No change. Yes, sorry, Jeff. Sorry, I didn't cover that one. No change. There's no change in our payout ratios. We have about 60 partners. I think there was a handful of those that extended last year, same terms as in the past. No change in what our payouts are. We have attractive partnerships with a lot of partners. They get a lot of value out of it, and so do we, but we see no change in those payout ratios. That's not impacting our margins at all.
Jeff Muller: Very helpful. Thank you.
Operator: Thank you. Our next question is from the line of Manav Patnaik with Barclays. Please proceed with your questions.
Manav Patnaik: Good morning. I just wanted to confirm, Mark, when you said without the mortgage and hiring headwinds go to being 200 base points higher, I guess is that assuming that those markets would be flat? And then I just wanted to know how you would quantify what the EPS impact of that would be?
Mark Begor: Yes, and Manav, I think, as you know, back in October when we talked about our third-quarter earnings, we gave you some comments around what trends were at that time and rolled that forward to 2025. At that time, we thought the mortgage market was going to be up about 5 points based on current trends, and obviously the decline that happened in mid-December and is happening as we speak was surprising to us. Obviously 7% mortgage rates are high, but the decline was a lot sharper than we expected over the last six weeks. So really what we're comparing to is, somewhere between that flat and up 5. When we think about the impact that it would have had, because as recently as two months ago we were looking at 2025 being a slightly positive mortgage market environment, and it's not now. From an EPS standpoint, it's very high calories.
John Gamble: So Manav, when we calculated the benefit to EPS, obviously we just assumed recovery to a flat market. The growth rate recovery, again, is just really relative to a flat market, and we just used the variable margins that we would have on those products. And so we assumed both for mortgage USIS and TWN increase would go to flat, and then we just assumed the hiring market as opposed to being down 8 would be flat, and we flowed through a variable margin.
Manav Patnaik: Okay, got it. And then maybe just on the government side, Mark, just help us with that cadence again in terms of what's going on there, and are you seeing any early impacts from Doge and all that stuff that's been thrown out there?
Mark Begor: Yes, so I think you're focused on maybe the fourth quarter and 2025. We have been performing exceptionally well, as you know, with very high growth rates, so you're getting into some hard comps in the fourth quarter and then in 2025, including in the first quarter. We did mention that CMS in particular made a change in the reimbursement program with the states where they used to reimburse that CMS, reimbursed 100% of data costs. They're now at 75%, so the states have to pay 25. That had some impact in the fourth and likely in the first as states are adjusting to that. As you know, states have budgets. And if they're going to start paying for some of that data cost themselves, they've got to adjust their budgeting and their operating statements. And we're focused on working with the states to, in some cases, going direct to them with our solutions that have some impact in the first half of the year on our government business. As John said, we expect the government business to return to double-digit growth in the second half. You may remember we signed a large contract extension with SSA in September last year. That really comes into effect in 2025, so that'll have a positive impact, particularly in the second half. And then our contracts have pricing escalators that aren't uniform on when they go into effect during the year. But we have some larger government contracts that have escalators that are positively impacting the second half, so that's another good guy as we get into the year. Anything else, John?
John Gamble: Just in the first half, and Mark mentioned it, we're still dealing with the fact that there were redeterminations in the first quarter of last year and part of the second quarter, so revenue was very strong in the first quarter of 2024 and moving into the second quarter of 2024.
Manav Patnaik: Okay, thank you.
Operator: Our next question comes from the line of Andrew Steinerman with JPMorgan. Please proceed with your questions.
Andrew Steinerman: Hi. Two quick ones on mortgage. The first one is, John, could you just tell us what mortgage revenues were as a percentage of fourth-quarter revenues? And the second one is just to make sure we get a definition of U.S. hard mortgage credit increase, which Equifax has been seeing down for the last six weeks, as you just stated. That's a difference from what the MBA has reported on their mortgage weekly application reports, and I just wanted to know if maybe you're measuring different things hard versus soft. I'm not sure, really?
John Gamble: So 4Q '24 was 17.7%, and you know this, Andrew, we've been disclosing hard inquiries, the inquiries that actually impact your credit file for 10-plus years, right? And so we consistently disclose that number. It doesn't include soft inquiries, right, so a pre-qual or a pre-approval product, and we focus on hard inquiries because that's what's in the tri-merge, that's what's required to be purchased to close a loan, and we think that probably has the highest level of correlation over time with originations, right? And we've taken a look at originations historically, and we have good origination data in the credit file through, think about early 2024. That time period relative to the 15 to 19 average is down something on the order of 45%, and if you look at hard inquiries in that same time period, we're down not quite 50%, so the correlation seems quite good, and that's why we continue to disclose that number specifically.
Andrew Steinerman: Okay. Thank you.
Operator: Thank you. Our next question is from the line of Toni Kaplan with Morgan Stanley. Please proceed with your question.
Toni Kaplan: Thanks so much. Maybe first on just USIS 2% non-mortgage growth versus last quarter of up 5, just wanted to hear about any sort of changes in the selling environment or just any factors you wanted to share on sort of the overall broad market conditions that you're seeing, and obviously you've mentioned mortgage and hiring, but anything outside of those two would be helpful?
John Gamble: Generally speaking, I think what we indicated is we thought auto performed relatively well in the fourth quarter. We thought FI, also low single digits, performed relatively well. I think the biggest difference that you saw was that FMS in the third quarter was up double digits. The team did a great job selling into some new customers in the third quarter, which drove FMS very strong. We talked about the fact that we built some outstanding new relationships in the payment industry. Some of that really drove really good growth in our FMS or batch business, so that was probably the biggest difference between what was delivered in the third quarter and the fourth quarter, but in terms of online, I think we feel like auto performed relatively well. Again, low single digits, FI, low single digits, D2C actually came back to growth for the first time in quite some time, and we actually saw a little bit of performance and insurance. So I'd say the online performance, relatively consistent, the big difference was FMS.
Toni Kaplan: Great. And then on my follow-up, I did want to ask about the government opportunity. I know you've spoke a lot about the trajectory, so thank you for giving that. Just more in general, when you think about government programs, I feel like you had some success with CMS and SSA, but I guess as the government's sort of rethinking their programs and you can provide some efficiency to them, how are you thinking about the opportunity for like basically getting new programs, but offset by the point that potentially there could be a lot of programs that are cut? So how do you sell into that environment? How are you thinking about the change in opportunity just more broadly? Thanks.
Mark Begor: Yes, it's a great question, Toni. We still think there's a big market opportunity, and in this administration, even more focus around delivering social services accurately to those in need and focusing on where there's improper payments or abuse in the system, which really means people that are receiving benefits that perhaps don't qualify. And I think we've all read and seen all the studies that says there's quite a bit of that. Our view is, and I suspect it's yours too, is that broadly social services aren't going to be cut. There will be a focus, and we see a focus in Washington, and we're working both on the Hill and also towards the White House around how our programs can really help in the delivery of social services accurately. So that's, we think, a positive macro for Equifax. I know you know the TAM for us is about $5 billion of manual verifications that are done in the government space, and again, it's done at the state level. We have penetration in a lot of states, but a lot of states are fully manual, and as you know, a state is not typically a customer. It's the agencies within a state. So we've got a large commercial team. We're out there selling the productivity from using our solution, the accuracy and speed from using our solution, and again, the big macro, I think, a positive for us in 2025 is broadly there's been a bigger focus in Washington around accuracy, which we think plays well to our data, which is verified. So, we remain very bullish on the future of our government business in that big $5 billion TAM. We exited the year at roughly $700 million, so we've got a lot of opportunity. And the battleground for us, or the opportunity, is really at the state level and in the agencies. So that's why we've got Equifax resources deployed in the state capitals to really work on these programs. So we remain very optimistic around government in the future.
Toni Kaplan: Super. Thanks.
Operator: Our next questions are from the line of Faiza Alwy with Deutsche Bank. Please proceed with your question.
Faiza Alwy: Yes. Hi. Thank you. So I wanted to follow up on the pre-qual products and the soft pulls. I think you mentioned that 70% of maybe the inquiries or the revenues are hard pull. So I just wanted to clarify if that's what you meant, that 30% are soft pulls and 70% are hard credit pulls. So I'm curious what you're expecting in terms of the penetration of pre-qual products, and if you're seeing any share shifts there, whether lenders are using one or two bureaus? And how are you in the initial shopping process, and how do you expect that to play out in '25?
Mark Begor: Yes, it started playing out in 2024. Your metrics are pretty close that there's a large shopping element or soft pole element of mortgage. That was a real tailwind for us following COVID when rates started to increase, people were shopping around further. We have seen some decrease in shopping, really as a part of what we've seen in the last, call it two months or six, eight weeks. As rates went higher, people, those that are shopping are still shopping, but there's less people shopping, thinking about a mortgage. So there's been a change in consumer confidence. The other changes that we've seen happening is there's some moves by mortgage originators who historically might pull all three in the shopping process, some originators are either pulling one or two credit files instead of the full three, which obviously has an impact on our revenue. Our focus there is obviously to be responsive commercially, but more importantly is a big focus around our differentiated data. And I talked about, we're rolling out as we speak a, call it a shopping credit file for mortgage that has TWN indicators on it, TWN data that makes our shopping file more valuable to the mortgage originator, because we want to differentiate between our competitors in that 1 and 2B world in the shopping side. You may remember we also have NC plus attributes that we're including with our mortgage credit file, that also differentiates our mortgage credit file in that shopping process. And unrelated to mortgage, we're doing the same thing, as I mentioned, in auto. We'll be rolling out, in the first half of this year a TWN indicator on our auto credit file for the same reason. And obviously what we want to do is provide incremental value with the TWN data on our credit file for both mortgage and auto, but still capture the TWN full pulls, which are required for mortgage and are required for auto that happen later in the process. So it's -- I think, a really attractive advantage for Equifax to compete in both spaces with our differentiated data that really only we have. Only Equifax can put those TWN indicators on our mortgage and credit file.
John Gamble: And just in terms of the numbers, right, so we were quoting revenue, right, so it's something over 70% of revenue is hard pulls. And then in addition to soft pulls, there's a high single-digit percentage of batch job, UDM, property data, rental data, et cetera, that wouldn't be a soft pull, right? So when you break down our mortgage revenue, it's something over 70s hard pulls, high single-digit percentage is the other things that I just referenced, and the remainder would be soft inquiries.
Faiza Alwy: Got it. Thank you. And then just as a follow-up, apologies if I missed this, but any thoughts on TWN inquiries for '25 and outperformance, I know we saw some improvement in the fourth quarter on both of those metrics, so curious how you're thinking about that?
Mark Begor: Yes, just in general, right, we're expecting TWN inquiries probably to be a little better than mortgage inquiries in 2025, just for the shopping reasons Mark referenced, and I'm talking about hard inquiries, but really no more specificity than that.
Faiza Alwy: All right, thank you.
Operator: Our next question is from the line of Kyle Peterson with Needham. Please proceed with your question.
Kyle Peterson: Great. Good morning and thank you for taking the question. Just one for me. I wanted to focus on capital allocation, obviously the leverage and balance sheets in a pretty good spot. You guys are kind of hinting at both increasing the dividend and starting a buyback. How are you guys thinking about balancing and priorities between the two as well as potential timing as to when we can see some of these actions, as in like is it middle of the year, late in the year, how should we think about that?
Mark Begor: Yes, I think we tried to be more than hinting, and we've been doing that for quite some time. As you know, it's been a goal of ours to complete the cloud transformation where we invested quite a bit of CapEx into moving us to the cloud-native mode, and then when that CapEx coming down is in our margin expansion and the savings from that really generated a lot of excess free cash flow. So, we checked that box at close to 85% in the cloud. That's complete. The one we want to see a little more visibility around before making that decision, really to your timing question, is where is the economy? Where is the mortgage market? Where is the hiring market? Just to be frank, 60 days ago, call it, in kind of November and early December, we didn't anticipate rates going to 7 or the mortgage market declining 12% over the last 6, 7 weeks. That has been surprising to us, and it's so rapid and so recent. We want to see a little more time there. Where is that mortgage market going? Where are rates going? What impact are tariffs going to have on that? So I think getting through a portion of the year so we have some more visibility on that, I think, will be quite important. Our confidence around our guidance for 2025 is high with the underpinning of the mortgage market and hiring market, which we think we've baselined as the best data we have now. And as we mentioned, we're going to have very strong free cash generation this year. Even with our EBITDA expansion, we're going to generate a lot of EBITDA and a lot of excess free cash flow. We do plan to use some of that, both leverage that grows with our margins expanding and EBITDA expanding, as well as the free cash, to look for continued attractive bolt-on M&A. No change in our bolt-on M&A strategy. And then we want to return cash to shareholders. We want to get back to growing the dividend again, and we'll give that framework on growing the dividend at the right time in 2025. And then we also want to return cash to shareholders. What we would envision is a multi-year buyback program authorization by our board to buy back stock as we go through '25, '26, '27, pick that timeframe. And when you look out in our model, I think yours looks like that, too, and you can pick your mortgage market assumptions or recovery assumptions, we generate a lot of cash over the next three-plus years, and it's going to give us the ability to return that cash to shareholders. So that's been a clear part of our strategy, and it's a focus of ours, and we clearly envision implementing that in 2025.
Kyle Peterson: All right, thank you very much.
Operator: Our next questions are from the line of Craig Huber with Huber Research Partners. Pleased proceed with your question.
Craig Huber: Yes, thank you. Just want to just better understand, I mean, obviously trying to forecast the U.S. mortgage market has been quite difficult for a number of years and so forth. You're obviously taking, extrapolating the current trends out for the remainder of the year. There's nothing new with how you guys forecast the mortgage part of your business and so forth. The rest of your business, however, you are making some various assumptions and so forth, and maybe you can just talk about the differences there, about how you put together your outlook for the year? Thank you.
Mark Begor: Yes, no, change in how we do that. We don't have many parts of our business that are impacted by macros. Really mortgage principally is one, and to a lesser degree, the hiring market, it's a smaller impact, but when you have a 10% decline in the underlying activity, which we've heard from background screeners, has been happening same thing over the last, call it, 60, 80, 90 days, that has an impact. For the rest of the business, we have a lot of visibility. We know that we took price up on 1-1 broadly across all of Equifax. We know what that price is. We know where we have subscription agreements that are in place, multi-year contracts, either with minimums or with terms in them that we can forecast. We have deal pipelines where we're adding new business. We have contracts that we signed last year. They're going into effect this year that we lay into our forecast. On the record side in EWS, we have quite a bit of visibility of new partners that we added to three in the fourth quarter and some that we added in the second half, record editions, when we expect those to come online. As you know, those translate into revenue instantly, as soon as we add the records because we have the inquiries coming in. With other partners that are already with us, we also have lots of programs with them because we don't have all their records typically. So we're working with them to add those records in. So across the rest of the business, I think we have a lot of visibility, and we typically are able to forecast well. Our goal in setting a framework for the quarter or for the year, in this case, first quarter in 2025, is to lay out our best forecast, a forecast that we know how to meet and with a goal of beating it. I would say, like any company, we try to have the right balance of conservatism in that forecast with that goal of delivering for our investors around what we lay out.
John Gamble: I mean specifically around auto, for example, I think our expectation is auto sales, new and used kind of flat, maybe a little better. Again, we get input from our customers, similar concept around card and personal loans. I mean, generally speaking, I think -- we think the consumer is relatively healthy, but we are seeing some cracks in consumer confidence. We've seen that obviously come through in January, and then internationally, we're assuming that we're going to see the markets continue to grow, but nothing substantial, not really any stronger than their long-term average growth framework and probably the UK and Europe were expecting to see slower growth in their long-term framework.
Craig Huber: I appreciate that. A follow-up question here on the Vitality Index, are there any specific products that you'd want to call out that you're very energized about for long-term growth that you guys are putting in place there? Thank you.
Mark Begor: Yes, there's a whole bunch, and I already highlighted, I'll highlight again because it's top of my list, is with USIS now in the cloud, obviously, EWS got in the cloud a couple of years ago, we can now combine those data assets, and we think that's going to be super powerful. And as I mentioned a few minutes ago in my prepared comments, the rollout of a mortgage credit file that includes TWN indicators on it, we think is very powerful because only we can deliver that. We're doing the same thing with our cell phone utility attributes on the mortgage credit file, and then we're going to do the same thing in auto and likely in personal loans because we think it'll differentiate our credit file, and that's going to be particularly powerful when there's only one credit file being pulled. We want to be the one to be pulled, we want to drive market share there. So I think the cloud is really giving us, in our single data fabric, a lot of opportunities to leverage our differentiated data assets. We're also having great success with a solution here in the U.S. we call OneScore, which takes our non-credit file data sets, and as you know, we have the cell phone utility data set, we have DataX and Teletrack that we acquired. You put that together, we have a very large set of consumers and trade lines that are not in the credit file, which allows us to differentiate our credit file again and drive performance. The third one I would highlight is just the use of AI. We've been ramping up our AI capabilities around scores and models and products. I think, as you know, we're using it in the vast majority of our models and scores today, and we're seeing very meaningful performance lifts around wider sets of data being used in that score and model driving performance, like the OneScore data element. So a whole bunch there, and as you know, innovation and new products is central to our strategy and our DNA at Equifax. We report to you, we run the company around the Vitality Index, and that makes us a stronger partner with our customers. When we're innovating and bringing new ideas to our customers, we're viewed as a more valued partner, so that's clearly central to how we want to operate in Equifax going forward in the cloud, and our scale-differentiated data really enables us to be advantaged around that innovation and new products.
John Gamble: I just wanted to clarify, my answer to the last question about international growth rates was relative to economies, not the Equifax growth rates themselves.
Craig Huber: Understood, thanks guys.
Operator: Our next questions are from the line of Jason Haas with Wells Fargo. Please proceed with your questions.
Jason Haas: Hey, good morning, and thanks for taking my questions. I'm apologies that I missed it. But can you say what the talent verification outperformance was versus white collar higher market in a 4Q? And then how do you expect that to trend going forward? I think that'll give us some helpful understanding of how to think about talent excluding the impacts from the softer hiring market? Thanks.
Mark Begor: Yes, so at the fourth quarter we indicated it was about eight points, right, better That was a little weaker than it was in the third quarter I don't think we gave guidance for what it would be going forward. But historically we've been running somewhere between high single digits and low double digits better than the market over time. Fourth quarter was a little weaker than third quarter and it was really specific to the way pricing -- our annual pricing was executed in the two different years. Our 2024 annual price increases actually a portion of them were executed in the fourth quarter of '23 and then the remainder in the first quarter of '24. Our 2025 price increases substantially hit in the first quarter of 2025. So we just had a grow over effect issue in the fourth quarter of '24 versus 2023 because of the difference in timing of price increases.
Jason Haas: Okay, great. That's very helpful. Thank you. And then as a follow-up can you talk about the implied USIS mortgage outperformance for 2025. I think if I did math, right and I heard everything correctly. It's about 20 percentage points of mortgage outperformance. It's a bit of a step down from 2024. I think I might know why, but can you can you talk about that? That'd be helpful. Thanks.
John Gamble: Yes. So the biggest difference is really around, and it was a question that was asked earlier around soft pulls, around pre-qual and pre-approval products. What we saw going from 2023 to 2024, since those products were relatively new in late 2023 going into 2024, was very, very substantial growth in those products in 2024. So that drove a substantial amount of outperformance relative to hard pulls. What we're expecting in 2025 is we're continuing to expect pre-approval and pre-qual to perform well, but the growth rate will obviously be much lower because of the fact that we're coming off of a much larger base. So that's really the biggest difference in outperformance. We're expecting to continue to perform well year-on-year. We continue to drive more new products. Mark talked about it substantially. But it's really just the difference in the base on pre-qual that's driving the difference in growth rate.
Jason Haas: Okay. And I'm sorry to ask third follow up, or second follow-up, but I thought maybe you would also allude to the supplier prices increased. So is that less of a tailwind in 2025 than it was in 2024?
John Gamble: On dollar amounts, they're relatively similar.
Jason Haas: Okay. All right. That's helpful. Thank you.
Operator: The next questions are from the line of Owen Lau with Oppenheimer. Please proceed with your question.
Owen Lau: Hey, good morning. Thank you for taking my question. So on your international revenue growth, it was 11% year-over-year in the fourth quarter and you guided to 7% in 2025 and 6% in the first quarter. Could you please unpack a little bit more about the driver of that slowdown? Thanks.
John Gamble: Actually, we think 7% is quite good, right? So our long-term model is 7% to 9%. So we feel very, very good about the 7% to 9% growth. I think Mark talked about where we're seeing the growth come from, and the good news is what we're seeing is really improved performance and growth really across all geographies. The only geography I think that's dealing with a little bit of market headwinds is the UK, and we're seeing some economic slowdown in the UK. That's affecting us in 2025 as well as we're expecting the UK economy in general to be a bit weaker. Brazil was really strong in the fourth quarter. We had an outstanding performance from Brazil in the fourth quarter. And in the second half, really we're expecting the Brazil to perform well in 2025, perhaps not double digits, but we're very happy with the way our Brazil acquisition is performing, so, net-net I'd say, we feel pretty good about the 7% next year.
Owen Lau: Got it. So quickly on mortgage assumption, I know there's lots of questions about mortgage already, but you mentioned that you haven't baked in any weight cut or weight increase. But if there is a, let's say, 25 to 50 basis point rate cut in 2025, do you still expect incremental benefits for your mortgage increase given that last year's 30-year mortgage went down to 6% and there was a refinancing weight already? How do you think about that this year? Thanks.
Mark Begor: Yes. We have seen, you know, with changes in the 10-year and changes in the mortgage rates had definitely an impact. Back in kind of August, September, when mortgage rates went down with the 10-year in advance of the election, we did see an uptick in activity or inquiries, both shopping and mortgages, both purchase and refi, as you point out. This late-year impact that happened in mid-December and all the way through January when rates went above 7, surprised us with the magnitude of it and how deep it's been to drop another 12 points. But yes, we've clearly seen as rates move up, there's an impact and we would expect the same if rates come down. It's hard to see that now with rates, with the tariff discussions going on and when is that going to settle down in the marketplace and how the bond market reacts, which, as you know, has a big impact on mortgage rates. And then John mentioned it and I mentioned it also is that there's some element of consumer confidence. That is lower right now, which rolls into decisions around buying a home or decisions around buying a car. That clearly is consumer confidence is lower perhaps with all the activity taking place in the new administration, we're clearly seeing that. Over the long term, we're 50% below historic levels in mortgage inquiry activity. We don't think that's going to stay there over the long term. The question is, when will rates come down? And we've been very clear and we showed it in our deck again today that we expect that to be a very meaningful impact for Equifax to the tune of over a billion dollars of incremental revenue as well as incremental margin. And we'll flow that through if there's a positive impact against our minus 12 outlook. We would expect that to be accretive to our framework for 2025, meaning that we'd have incremental revenue and we'd let that margin drop through. We're doing the right investments for the future of Equifax as you expect us to do. We wouldn't incrementally invest more if the mortgage market recovers. We're going to continue to focus over the long term for Equifax. And if there is an uptick, that's going to drive our margins up and our EPS and our cash flow up.
John Gamble: And as Mark mentioned, again, our long term framework only assumes that we're going to see modest growth in overall markets, including mortgage, 2% to 3%, right? So, again, to deliver our long term framework, which includes substantial revenue growth and earnings growth of north of 10%, right? We don't need the mortgage market to fully recover. We just need the mortgage market to stabilize and start growing slowly 2 to 3 points a year and we can deliver extremely well.
Owen Lau: Got it, thanks a lot.
Operator: Thank you. Our next questions are from the line of Andrew Nicholas with William Blair. Please proceed with your question.
Andrew Nicholas: Hi, good morning. Thanks for taking my questions. First one is on margins. I think inter quarter you talked about wanting to or thinking you can kind of approach 100 basis points of a margin expansion, 25. Obviously, the 25 basis point guide this year is a little bit lower. But if I do the math, it seems like the lighter mortgage would more than account for that delta. So I'm wondering if there were other kind of cost actions you took into your quarter to protect margins or if maybe you're getting a bit better expansion than you had thought from the tech transformation in '25?
Mark Begor: Yes, so the numbers you quoted are correct, right? So I think the team did a really nice job in the fourth quarter. What you saw is on weaker revenue. We delivered the margins we committed and I think the team did a nice job of managing costs as we went through the fourth quarter. So obviously, as we're going into next year, we're continuing to try to manage costs closely to allow ourselves to deliver margin growth even in the face of those substantial declines in both mortgage but also talent.
John Gamble: We implemented sizable cloud cost savings in the third quarter that, as you know, are giving us year- over-year benefit in 2025. So we have real visibility of that, but those are done, right? So we've already completed those. So that's good news for us as we go into '25. And we have some incremental cloud cost savings. As you know, we still have some markets we're completing. We're going to complete Spain in the first quarter. We'll get some small benefit from that. We've got Paraguay we completed in December. So those kind of completions that kind of roll through '25 as we move from that close to 85% of our rev in the cloud towards the 100% present incremental cloud cost savings principally in '25. So we've got those in our outlook.
Andrew Nicholas: Perfect. Thank you. And then for my follow-up, I know it's a little bit more detailed, but on the new product that you're, or set of products that you're offering that are going to have the TWN data flags on them in mortgage and in auto later in the year. Is that predominantly a market share play or do you also get more price for those products with that flag? Just trying to understand kind of strategically how that plays out?
Mark Begor: We'd look for both. If you think about mortgage where some customers are only using one file in shopping, we want to be that file. So getting that incremental revenue or market share as you describe it is very attractive. We're delivering more value so we should get price for it. And then same thing in auto. Auto, many dealers will pull one mortgage credit file when a consumer comes in. We want to be that credit file we pull, because it's pulled -- because we're going to provide incremental information around the eligibility for that consumer. Because remember they'll get auto and in mortgage, but I'll use auto example. A consumer comes in, their credit is super important, but many auto loans require income verification and certain income levels in order to qualify for that auto loan. Knowing that upfront in the early stages of that consumer interaction is super valuable and only Equifax can provide it. As I mentioned, we'll likely have a solution for personal loans and as an old credit card guy, I know the value of combining income with credit score even in a credit card space. So the power we have now is having those data assets, TWN in our credit assets and USIS, but having both businesses in the cloud, post USIS completing the cloud last summer gives us the ability to really leverage those in the marketplace and drive share and drive revenue and price.
Andrew Nicholas: Thank you.
Operator: Next question is from the line of Kelsey Zhu with Autonomous Research. Please proceed with your question.
Kelsey Zhu: Hi, thanks for taking my question. I want to talk about the SSA contract extension that you've announced at the end of Q3. Was wondering if you can talk a little bit more about what's the current level of run rate revenue in 2024 from SSA and they expect the growth in 2025 and beyond. I think the originally announced 500 million for five years does rely on some amount of further state penetration as well. So just wondering how you're thinking about that in light of CMS changing their rings [ph]?
Mark Begor: Yes, this particular contract with SSA is a federal contract, so it's not one that's done like CMS where the states deliver that service and the states use the data at the local agency level. And as you point out, the customer for us in CMS is really the agency at the state level. In the case of CMS, this is a federal contract that's used for disability benefits eligibility that are delivered directly at the federal level, and it's really used to authenticate the individual's recipients' eligibility to continue receiving that Social Security disability income. If they have a change in income, then it changes their benefits eligibility. So that's a contract that we've had in place in the past. We extended the contract in September with higher prices in it, and that's what I mentioned is going to give us benefits as we go into 2025.
Kelsey Zhu: Thanks. I was also wondering if you have any updated thoughts on sizing the incremental record additions from the Workday Partnership, or just in general, how should we think about record growth in 2025?
Mark Begor: As you know, we typically don't discuss any of our partners. Workday is unique because we both announced it last September, so we just highlight the fact that we have that one. So we don't talk about what specific partner record additions in. We have over 60 partners, and as I said, we added 14 last year plus Workday, including three of those 15 in the fourth quarter. Record additions were very strong last year. 20 million records, up 12%. That's higher than what we expect over the long term, but record additions have been quite strong over the last five years, above our long term, for EWS, we think about record additions being in the 3%, 4% range, so very strong years. The positive for 2025 is we have a lot of visibility around three partners we added in the fourth quarter. Those records didn't come on yet. We have partners we added in the second half that were still onboarding records. And as I mentioned earlier, we have partners we added two, three, four, five years ago where we're still adding records. When they get a new client, those become new records, but typically we have pockets of records, given the structure of their technology or databases, that were still onboarding to Equifax, even from partners that are a couple of years ago, so that's a big part of our visibility around records when we look forward a quarter or through a year like 2025. And then we also have a list of a set of potential partners that we've been talking to for a year, two years, three years that are not with Equifax today that we're looking to bring onboard, like the 15 we added last year. Then as a reminder, a little under 50% of our records come from our direct relationships through our employer business, and as we grow I-9 clients or UC clients, they're bringing in records there also. So it's a multifaceted approach. We have one leader and one team that drives record additions. That was a change we made a year ago, and it's paid off in 2024 with the kind of focus from having a dedicated leader giving the obvious benefit or value of adding records. So we've got a big focus on that. We're expecting record growth in 2025 that is aligned with the growth frameworks we laid out for the year for EWS.
Kelsey Zhu: Thanks a lot.
Operator: The next question is from the line of Scott Wurtzel with Wolfe Research. Please proceed with your question.
Scott Wurtzel: Hey guys, good morning. Just one question from me. When we think about the guidance for EWS revenue growth and sort of in the context of your medium-term framework, that color on records growth was helpful, but maybe if you can frame sort of the kind of pricing and penetration contribution to growth for this year that you're expecting relative to the long-term growth framework? Thanks.
Mark Begor: Yes, as you know, we don't talk about pricing any of our businesses, but we can be clear that we take price up every year in all of our businesses, including EWS. I think we've said many times we have more pricing advantage, if you will, because the uniqueness of what we deliver with EWS and TWN than we do in other parts of Equifax. Penetration will be a positive for us in 2025. In EWS, we expect new product rollouts to also be a positive. They've been over-indexing our 10% goal for, gosh, almost four years in EWS. We expect, again, very strong over 10% vitality, so the continued rollout of new products. As you point out, records is an important pillar on the ability to grow in that space. And then penetration, we just have large verticals with a lot of room to grow, and we're principally competing, as you know, against manual verifications, whether it's a verification of employment with a background screener, verification of income with a government agency, in auto, where there's still penetration opportunities. So those are some of the areas where our teams are focused on.
Scott Group: That's helpful. Thank you.
Operator: Our next question is from the line of Ashish Sabadra with RBC Capital Markets. Please proceed with your question.
Unidentified Analyst: Hi, this is David on for Ashish. Thanks for taking our question. Just a follow-up to that last question. Are you seeing any, I know you're not commenting on pricing, but are you seeing any competitive dynamic shifts related to the First Advantage and Sterling merger? Thank you.
Mark Begor: Yes, we don't talk about specific customers. As you know, we have a great relationship with Sterling and a great relationship with First Advantage, and we do with the other background screeners. We view them as strategic partners, and we have all kinds of relationships with them, whether it's a verification of employment, we have an education solution, we sell incarceration data to them, new products that we're working to deliver to them. So I don't want to talk about specific impacts, but we have very strong partnerships with the two you mentioned, as well as the rest of the industry.
Unidentified Analyst: Thank you.
Operator: Our next questions are from the line of Matt O'Neill with FT Partners. Please proceed with your question.
Matt O'Neill: Yes, hi. Thank you so much for taking my question. Just curious, going back to the talent and labor area, any incremental comments on verticals, employer sort of size or type, sort of public-private, where some of the conservatism or weakness is most noted? And then while I fully understand not commenting on price, I guess just with the mortgage score price rolling through last month, just curious if there is anything of note there, if that's been a smooth process? Thank you so much.
Mark Begor: Yes, the first one on hiring, and remember, it also impacts us in onboarding, where we're selling I-9 solutions. If there's less new employees, there's less background screens, there's less I-9. So clearly an impact, and you use the term conservatism. We're telling you what trends are. When we talk with our customers, it's very broad-based. There's a mode, it seems to be kind of coming into the election and post-election, that companies are keeping a tight belt around hiring as they think about their budgets and plans for 2025, as they are concerned about what's going to be the impact in Washington. The whole tariff conversations create a lot of angst with lots of customers about what's going to happen. I think you've seen the impact on consumer confidence that likely is impacting lots of customers when they think about what kind of investments around people and resources. But it's been surprising to us, like mortgage, that the hiring activity declined so meaningfully in the latter half of the quarter, kind of post the election. Companies are kind of sitting on the sidelines to see how is this all going to play out. When that happens, you just don't hire a lot of people, and that clearly impacts us. And sorry, the second half of your question was, I think, on the supplier pricing increase that went through. What was the question?
Matt O'Neill: Just if there was anything to note on how that's flowing through in the market, or if it's been fairly received as expected.
Mark Begor: I think received as expected is probably the right way to describe it. Nobody likes a price increase, and a price increase of that size is challenging. But we did mention that there's some change in behavior around the shopping process where historically a mortgage originator might have pulled three credit files from all three credit bureaus in that shopping process. Some changes going to a single pull, or a dual pull, and then pulling the three later on in the process, that's likely driven by the cost of the credit file. That's why we're focused on how do we differentiate our credit file. And we're quite energized about our ability to add those TWN indicators to it that we would expect would drive share and revenue for us having something that is differentiated from our competitors.
Matt O'Neill: Makes a lot of sense. Thank you.
Operator: Thank you. The next question is from the line of Simon Clinch with Redburn Atlantic. Please proceed with your question.
Simon Clinch: Hi. Thanks for taking my question. I've got two questions. First of all, just wondering if you could just walk through the outperformance that we've seen in EWS Mortgage just over the last four quarters. We've seen certainly weaker contribution from pricing and mix as you've talked about before, but that's still sort of pervasive today despite easier comparisons and as well as your records growth on top of that. So I was wondering how we should think about that portion going forward from here?
John Gamble: So you're referring to the performance of mortgage revenue relative to underlying inquiries when you say, is that what you're asking about?
Mark Begor: In EWS.
John Gamble: In EWS.
Simon Clinch: Yes. And if I strip out the records growth contribution?
John Gamble: We think it's actually strengthened as we've gone through the year. We feel relatively good about the performance we've seen in terms of adding records, which is the biggest driver in our ability to outperform the underlying inquiry market. So we feel very good about how it's progressed during the year.
Mark Begor: It improved during the year.
John Gamble: Yes, very nice during the entire year, and we ended up double-digit in the fourth quarter. So we think the performance is good, and it's all driven by, heavily driven by what Mark talked about, which is the tremendous success we had this year in boarding new records. And as we go into next year, that will be the driver again. So our ability to continue to successfully board new records, which we feel very good about, is what's going to allow us to continue to perform well relative to whatever the mortgage market does.
Mark Begor: And I remind you, I know this makes sense, but not every record that's added is a mortgage customer. As you know, a smaller portion of the population in the United States owns a home and will participate in the mortgage space. Generally, they're near-prime and prime customers. We're adding records that are called subprime customers or lower income consumers, and those records are super valuable in auto loans, they're super value in personal loans, and they're really super valuable in government. And the beauty of EWS is that every record we add now, given the demographics of the different verticals we participate in, have value, and generally multiple value going forward. So it's a really powerful model on records. In addition to records in the mortgage space, we do take a price, we do roll out new products, which we rolled some new products out in the second half of last year in EWS, and we've got some new products rolling out in 2025, like the TWN indicator that we talked about that will be a positive for Equifax revenue.
Simon Clinch: Okay, that's helpful. Just on the point about the TWN indicator, I know you've had a few questions on this already, but when I'm thinking about the indicator that you're going to bundle with the credit file, is that one going to be available only to customers of EWS verifications, first and foremost? And then secondarily, how are you going to balance? How do you balance the risk of reducing the value of the records from EWS by providing that indicator in the credit file?
John Gamble: That's a great question. In the mortgage space, most mortgage originators, I'd say the vast majority of mortgage originators use TWN, so they're customers now. Auto, there's pockets of customers that don't, so that'll be an opportunity. But we'll make this credit file with the TWN indicators available to all customers, because even if they're doing a manual verification, which is a very small portion in mortgage origin, called a larger portion in auto, knowing upfront that Mark's employed when they're in the shopping process with Mark in a mortgage or auto application is very valuable. And we're going to be very careful, as you might imagine, around giving, it's not slivers of information, but giving important information upfront that helps in the shopping process, but being very balanced around the fact that we want to protect that full pull that happens later on. It's very deep levels of data. We have 50 different attributes on the full TWN credit report. It's got trended data going back 12 months, 24 months, 36 months. That's not what we're anticipating put upfront on the mortgage shopping or auto shopping credit file. What that originator or F&I individual at a dealer needs is Mark employed. It might be, you know, where is Mark working? It might be an average of Mark's income over the last 12 months, just some snippets, if you will, that are super valuable in that shopping process to really separate a consumer that maybe couldn't qualify for that auto loan or mortgage. So do you want to work on that with that consumer, or help steer what kind of products to put in front of that consumer by having that additional information. Because remember, a credit score, which comes with today is really what you get in a shopping process is a credit score and a credit file, really just gives information around someone's propensity to repay their new loan based on their past behavior. But it has zero information about their ability to repay. You know, they might have a decent credit score, but they're out of work. You don't have visibility to that. So that's the kind of thing we want to deliver up front. We think it'll differentiate our credit file and deliver more value to our customers in their workflows. And then, as I mentioned twice now, protect the, actually credit files of a full credit file typically pulled in many of these processes, a second or third time, but to also protect the TWN reports that are pulled either once or twice or sometimes three times in those workflows dependent upon the vertical.
Simon Clinch: That's great. Thank you so much.
Operator: Thank you. The next question is from the line of Arthur Truslove with Citi. Pleased proceed with your questions.
Arthur Truslove: Thanks, everyone. A couple from me. So first one, you've said that your margin in USIS can go up from 34.5% in 2014 to 35.5% in 2025. I was just wondering why this increase was so small. I mean, I guess given the cloud-based cost savings, you might have expected, 300 bps or so. So just wondered, what was missing there. Second question. You've made clear on this call that over the last month or two, the situation in mortgage and hiring has clearly deteriorated. And it seems like this is probably the key reason to you guiding down at this point. I just wanted to confirm as well, your mortgage forecast of minus 12% on volumes, that is just a function of what you've seen in the last few weeks, isn't it? And that obviously factors in mortgage rates at 7%. So can you just confirm that I've understood that properly?
Mark Begor: Yes, the second one, 100%. What we've seen over the last six, seven weeks has been a sharp decline, surprising in the depth of it, but a reality. And what we're seeing as far as activity is rates went over 7%. And I think you'd have to lay in there not only the rate shock of that, but also perhaps consumer confidence, and what they're reading in the paper about what's happening, all the activity in Washington. And just to be clear again, we'll update this again when we see changes in it. For sure, we'll give you an update in April when we report our first quarter earnings. Over the last 10 years, this is how we forecasted mortgage because we're not economists. We can't forecast interest rate increases or decreases. But we've been super clear with you that if this improves, that'll expand our revenue and expand our margins in our EPS. If either there's a change in confidence in consumer activity or the rates come down slightly. And as we mentioned earlier on the call in September -- August, September last year, we saw rates come down into the sixes and we saw an increase in activity. So we know there's a correlation between where rates are and what consumer behavior is going to be. John, you want to take the first one on margins?
John Gamble: And USIS margins, again, it's very similar to Equifax margins, right? So we're absolutely seeing savings from the cost reduction from moving to the cloud that's driving improvement in margins. Our growth rate is lower in 2025 than in our long-term model. And obviously we have very high variable margins. So what we're seeing, right, is that with the growth rate higher inside the long-term model for USIS being 68%, you would see much larger margin expansion in terms of a percentage basis. One of the things we are fighting against, which we've all been talking about for quite some time, obviously we get some revenue lift from our mortgage supplier price increase, but it also is margin dilutive. So we can hold margins with our own price increases along with it, but it isn't really accretive to our margin profile because of the way the price increases pass through. So, beneficial on the revenue side, not beneficial on the margin percentage side, but beneficial on the margin dollar side.
Arthur Truslove: Thank you. Just one follow-up from me, if it's okay. You're obviously forecasting margins down in workforce solutions, and you're saying part of that is bringing on TWN partners. Just give an idea of how many basis points bringing on the TWN partners costs and then whether that then comes back in subsequent years? Thank you.
Mark Begor: Yes, this is onboarding costs. So it's one-time costs. We'll have incremental people involved, technology costs. It's just a little bit bigger than normal because we added 15 partners last year. So as I said, some of those second half additions are still being onboarded, so there's just additional activity. And yes, it does go away. I think there's just a larger amount now because of our success last year of adding partners, John, right?
John Gamble: Yes. We pay incentives to partners to board faster, right? So as that happens, it ends up being margin dilutive in the period which it occurs.
Arthur Truslove: Thank you.
Operator: Thank you. Our next questions come from the line of George Tong with Goldman Sachs. Please proceed with your question.
George Tong: Hi. Thanks. Good morning. With respect to your margin outlook, can you elaborate on key drivers you have internally that could drive upside to your 2025 EBITDA margin guide, or would you say your outlook is relatively fixed given external conditions?
John Gamble: Obviously, there's a lot of drivers internally on the way to drive revenue faster. The biggest ones Mark's already talked about, right, which is our ability to continue to drive more revenue growth, right? Obviously, our long-term margin expansion of 50 basis points a year is driven by the fact that we have extremely high variable margins across the vast majority of our product portfolio. So the faster we can, as we drive to introduce more products, new products faster, it drives incremental revenue benefit. As we continue to put more AI and ML into our products, it drives better scores, higher growth rates, more data contribution, and more data usage by our customers. So the biggest thing we can do is obviously drive revenue faster, and then we'll continue to work to drive down costs more rapidly. One of the ways we do that obviously is executing on our cloud migrations. As that occurs, we can continue to take out costs more quickly. As we execute those effectively, that'll drive costs out, and we'll continue to manage costs prudently as we go through 2025 and every year going forward.
Mark Begor: The principal upside, I guess, George, is where you're going, the principal upside for our revenue margin EPS and free cash flow drive framework for 2025 is going to be what happens to mortgage and hiring markets. If they get better, we're not going to invest more costs from that margin expansion or revenue expansion. We're going to drop that through, and you've seen the impact that it's had on us from what you expected, meaning the street expected for 2025. It's quite substantial because they're all incremental margins.
George Tong: Yes, makes a lot of sense. And then with respect to your cloud transformation savings, any color you could provide on the quarterly phasing of savings in 2025 and perhaps 2026?
Mark Begor: Yes, I would think about them as much smaller. When you think about us being close to 85% in the cloud and the big increase like in USIS was a very substantial cloud completion. We got big savings from that in 2024 that also comp into 2025. They're going to be smaller. We haven't communicated what they are. When you think about Spain completing in the first quarter, for example, and some of the other completions we expect this year, those are in our guidance. So they're in our cost plans, what they're expected to be, but you shouldn't think about them as being anywhere near the magnitude of what you saw last year and actually in some of the prior years.
George Tong: Very helpful. Thank you.
Operator: Thank you. Our final question is from the line of Shlomo Rosenbaum with Stifel. Please proceed with your question.
Unidentified Analyst: Hi, this is Adam from Shlomo. Just one for me. What are you hearing from banks in terms of macro expectations and how the various areas of credit are performing? Thanks.
Mark Begor: Yes, so I think broadly our customers, banks, fintechs, here and around the globe, with unemployment low and employment high, that's a positive. So that clearly is one is consumers are working, they generally get to pay their bills. I think we've seen that impact on inflation, which is still high in relative terms and impacting that subprime consumer. Their delinquencies have increased. So you've seen some already repositioning, if you will, around underwriting there and the level of capacity that principally fintechs want to take on. But you're still seeing very strong kind of focus in that space. The subprime players are focused on growing their originations there. And no real change on the broader set of the credit spectrum. And our customers are financially strong. When you think about the banks, the fintechs, you don't see issues there. The other piece of it is around consumer confidence and the impact of higher rates. I think we've talked ad nauseam around mortgage. We've seen an impact in auto where higher rates are either forcing consumers to buy used cars versus new or keep old cars and keep them on the road, meaning not buy that new car or that new used car. So there's clearly been an impact there from what we've seen in higher rates. But broadly, you may be stepping back. I don't think we see a change in '25 outside of call it mortgage in FI, which we've already talked about, the down 12. I don't think we see any real change in either customer behavior or consumer behavior as we go into 2025.
Operator: Thank you. At this time, I will now turn the floor back to Trevor Burns for closing remarks.
Trevor Burns: Thanks, everybody. If you have any follow-up questions, please reach out to Molly and myself. Otherwise, have a great day. Thank you.
Operator: This will conclude today's conference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.